Operator: Good morning, everyone. Welcome to the Pollard Banknote Limited First Quarter 2025 Results Conference Call. Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks and uncertainties related to Pollard's future financial or business performance. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed in or implied in such statements. The risk factors that may affect the results are detailed in Pollard's annual information form and other periodic filings and registration statements, and you can access these documents at SEDAR+'s database found at sedarplus.ca. I'd like to remind everyone that this conference call is being recorded today, Thursday, May 8, 2025. I would now like to introduce Mr. Doug Pollard, Co-Chief Executive Officer of Pollard Banknote Limited. Please go ahead, sir.
Doug Pollard: Thank you, Kelsey, and thank you, everyone, for joining us. With us on the call today is John Pollard, Co-Chief Executive Officer; and Rob Rose, Chief Financial Officer. We released our first quarter 2025 results today. You can access our news releases as well as our financial statements and MD&A on our website at pollardbanknote.com and also on SEDAR+. Today, we will start out with prepared remarks for me highlighting our 2025 first quarter operating achievements and an overall business update, and John will then follow up discussing our first quarter financial results. Then we'll open it up to questions. The first quarter of 2025 was an exceptional quarter for Pollard with a number of key milestones and business goals achieved to help drive our strategy of being the partner of choice in the lottery and charitable gaming space. These were achieved in conjunction with strong financial results, which we will discuss in detail a bit later. We are particularly proud of the implementation and start-up of the Kansas iLottery solution, which began on February 13, 2025. We work very closely with the team from the Kansas Lottery and the rollout of state-of-the-art Catalyst gaming platform and our proprietary eInstants games was the fastest rollout ever in North America for iLottery and illustrates clearly our extensive experience with both iLottery and complex technological solutions, which are necessary to be a leader in the lottery market. The go-live went extremely smooth and continues to meet expectations in all areas. Of course, consistent with operations such as these, there is a ramp-up period as revenue grows to generate a profit, and we continue on the expected trend from a financial perspective. In addition to providing our eInstants games in combination with the iLottery platform in Kansas, our games continue to perform well in other jurisdictions. We are optimistic that our eInstants results will allow us to aggressively expand the number of third-party sites hosting our games. We also continue to see significant interest by lottery and expanding their offerings to include an iLottery solution, both for greenfield solutions for new states to begin and for existing operations who are looking to replace their suppliers and their technology. Recently, the Massachusetts Lottery issued a request for proposal for the implementation of a greenfield iLottery solution, and we believe other jurisdictions are looking closely at doing the same. As we have discussed before, the sales cycle of iLottery solution is long, but recent evidence suggests or supports it as a critical piece in the lottery suite of offerings. In addition to the successful development of our own in-house proprietary iLottery gaming platform and our eInstants game content, our NeoPollard Interactive joint venture achieved record results in the first quarter of 2025. Very strong sales of eInstants led the way, especially in Virginia and North Carolina. Our joint venture continues to generate meaningful results and cash flow and with a number of long-term contracts and extensions already on the books, we'll be doing so for a number of years. Our success in the iLottery area has been remarkable, and we are very confident we will continue to be a leader for years to come. We also saw the benefits of our strategy of repricing instant ticket contracts, and we have now successfully repriced a large majority of our volume. With all of those contracts now live, we will see the full positive impact throughout 2025, as evidenced by the high average selling price we achieved in the first quarter. There are a few longer-term contracts still remaining in place and will come up for rebid in the next few years, at which time we will then have opportunities to assess our pricing on those remaining contracts. Subsequent to quarter-end, we closed the purchase of another complementary charitable gaming business, Pacific Gaming. Pacific is a leader in the charitable bingo market, particularly in the provision of handheld electronic bingo devices an important segment of that market. And while small, this investment continues to expand our product portfolio so that we provide the complete requirements for charitable gaming operators. Our overall markets remain very positive. Retail sales of instant tickets remained steady in 2025 relative to the prior year, while still remaining at the high levels attained with significant growth during 2020 and 2021. Demand for charitable products remains robust, with particular high interest among jurisdictions looking at expanding eTab and other electronic opportunities. And we believe our digital areas, including iLottery and eInstants offer significant growth opportunities both in North America and internationally. Now I'll turn it over to John Pollard to highlight the first quarter results.
John Pollard: Thank you, Doug. During our first quarter, we achieved traditional GAAP sales of $146.2 million compared to $125.7 million in the 3 months ended March 2024. We prefer to focus really on our combined sales revenue number, which includes our proportionate share of our NeoPollard joint venture revenue, and that measure obtained $177 million in the quarter compared to $151.2 million last year. A significantly higher instant ticket average selling price in the first quarter of 2025 increased sales by $17.1 million compared to 2024. This is primarily due to an increase in our proprietary product sales, also the impact of the repriced contracts that Doug just alluded to, and we had a favorable change in customer mix in the quarter. Partially offsetting that increase to revenue was a decrease of instant ticket sales volumes of $5.8 million compared to the prior year, and that is primarily as a result of us declining to produce work for certain low-margin accounts that we've talked about in the past. Our higher charitable gaming volumes increased sales by $4.4 million in the first quarter of 2025 compared to the first quarter of '24. This was predominantly the result of the acquisition of CJ Venne in the third quarter of 2024. This increase in sales was partially offset by a decrease in charitable eTab revenue of $1.7 million compared to 2024, which was due to a regulatory change in one of our larger jurisdictions that has temporarily depressed sales there a bit. Lower Michigan iLottery sales also decreased revenue in the first quarter of 2025 by $1.5 million compared to 2024, which is reflecting the ongoing competition in the Michigan market with the private iCasino gaming operators. Gross profit was $25.4 million or 17.4% of sales in the first quarter of this year compared to $21.7 million or 17.3% of sales in the first quarter of 2024. This increase of $3.7 million in gross profit was primarily the result of higher instant ticket sales margins, largely flowing from our higher instant ticket average selling price that we just talked about. Now our overall gross margin percentage was similar in Q1 of this year to Q1 of last year. The higher margins that we talked about on instant tickets were partially offset by about 3 other things primarily. The largest one was start-up costs that we're facing in the start-up of the Kansas iLottery contract. Obviously, we only had revenue for a portion of the quarter. And as Doug talked about, revenue starts smaller and builds up. So there was definitely a negative impact on our margins from the Kansas iLottery start-up that will gradually improve every quarter going forward. Secondly, the lower Michigan iLottery revenue that I just referenced does have an outsized effect on our gross margin percentage because those are high-margin sales and the decline is -- affects gross margin disproportionately. And similarly, that's a temporary decline in eTab revenues that I talked about from the regulatory change, a similar effect to the lower Michigan i lottery revenue. So if we compare our 17.4% gross margin percentage from Q1 of this year with our sort of high watermark of the 21% that we achieved in the second quarter of last year, those 3 factors that I just talked about account for almost all of that change in percentage. Administration expenses increased to $17.3 million in the first quarter of 2025 compared to $15.4 million in the first quarter of 2024. That $2 million increase was largely a result of increased compensation expenses and software licensing costs as we continue to invest in resources to expand our digital and iLottery footprints. Selling expenses were up a little bit to $6 million in the first quarter this year compared to $5.4 million last year. That increase is also primarily the result of higher compensation expenses, but also a little bit of the result of including CJ Venne in our results this year. Our share of our income from our NeoPollard iLottery joint venture increased to $16.2 million in the first quarter of 2025, up from $12.2 million in the first quarter of last year. That strong $4 million increase was primarily the result of continuing great results that we're getting on eInstants sales in North Carolina and Virginia. Moving on to adjusted EBITDA. This increased to $30.6 million in the first quarter this year compared to $23.7 million in the first quarter of last year. The primary reasons for that $6.9 million increase in adjusted EBITDA were the increase in the gross profit we talked about above $4.5 million, again, primarily due to higher instant ticket and charitable gaming sales margins. In addition, the increase in our equity investment income from our NeoPollard joint venture of $4 million and an increase in realized foreign exchange gain of $1.2 million also contributed to the increase in adjusted EBITDA, partly offsetting those increases were the $2 million increase in administration expenses and the $600,000 increase in selling expenses referenced above. Interest expense increased slightly in the quarter to $2.8 million from $2.4 million in the first quarter of 2024, largely the result of an increase in our average long-term debt outstanding compared to last year, but partially offset by the impact of slightly lower interest rates in the first quarter of this year. Net income was $11.7 million in the first quarter of 2025 compared to $6.9 million in the first quarter of '24. That increase of $4.8 million was primarily due to the increase in gross profit of $3.7 million due again to the higher instant and charitable sales margins. In addition, the $4 million increase in our NeoPollard equity investment income and the increase in foreign exchange gains of $3 million further contributed to the increase in net income as compared to 2024. And of course, partially offsetting those increases were the increase in income tax expense of $2.7 million, the increase in administration expenses of $2 million and the increase in selling expenses of $600,000 and a slight increase in interest expense of $400,000. So net income per share was $0.43 basic and $0.43 diluted in this year in the first quarter. That compares to $0.26 per share basic and $0.25 per share diluted in the first quarter of 2024. Just a quick comment on our first quarter cash flow. Look, the nature of our business can generate significant swings in levels of our working capital, particularly in accounts receivable. And during the quarter, our investment in working capital did increase by a fairly large $46 million, the bulk of that through an increase in the accounts receivable. So that was large, but this does follow from Q4 of last year where we did generate a fairly large drawdown in our working capital. The timing of our sales in the first quarter of this year was more heavily weighted to the end of the first quarter and also the particular customer mix we had impacted our accounts receivable and just a general return to more historic absolute levels of our normal trade receivables all factored into that increased investment. However, look, when we look back even just at April, we've already collected a significant amount of those -- that larger buildup in accounts receivable. And we do just anticipate a return in the second quarter to more normal levels of investment in working capital. And so we should have a strong positive cash flow in the second quarter. Also just a quick further comment on the whole tariff and trade protectionism environment and talking about this quite a bit lately, of course, there does remain a fair bit of uncertainty about the nature, extent and duration of various protections trade measures, including tariffs that may be enacted within North America. However, we continue to believe that the current structure of our business model, which includes extensive manufacturing facilities located both within Canada and the United States will largely mitigate any negative effects as we have the ability to produce almost all of the products that we sell to our U.S. customers in our U.S. manufacturing facilities. Looking at our production input side and the effects from tariffs there. Our supply chain does include options and various suppliers where there may be cross-border flow for production in either our Canadian or U.S. manufacturing facilities to shift those flows to stay within the country where the product is being produced. And so that ability will also help to mitigate the negative impacts of tariffs. Lastly, just a general comment that, of course, if this trade environment, tariff and trade environment does cause an overall decline or negative impact on the general economy. As we've stated over the years, historically, the lottery and charitable gaming markets that we're in have been generally very resilient to any negative impacts or negative effects, I'm sorry, of economic downturns. So we feel that, that will also bode well for us in this environment. We will continue to monitor developments here and assess any additional short-term and long-term measures that need to be taken as if anything changes. That is the end of our prepared part of our discussions. Operator, we'd be happy to entertain any questions now at this time.
Operator: [Operator Instructions] Your first question comes from Jim Byrne from Acumen Capital.
Jim Byrne: It's a sad day. I guess I want on a take with the Jets losing a lot of sight.
Robert Rose: How is Calgary doing, Jim?
Jim Byrne : I got a few questions, I guess. I appreciate the comments on your gross margins and maybe you could just address kind of the volatility we've seen. I recognize the Kansas start-up and a few of the other moving items. But is there a kind of a steady-state number that we should be thinking about that you should be building towards from a gross margin standpoint, maybe towards the end of '25 or into 2025?
Robert Rose: It's Rob. Yes. That's a good question. We saw that as we developed through 2024, you saw that gradual increase to gross margins. And really what we expect to see and particularly when you go out longer, such as a period to the end of 2025, we definitely expect to see us grow back into that level of historical gross margins that we saw even before sort of in that low 20 percentage. And we think ultimately an upside to increase that because we have got to the point where we've returned most of our instant ticket margins back to sort of that level now. We do have some of these other things kicking in like our start-up in iLottery, et cetera and some movement and some other things that, as John described, has reduced sort of our margins. So there will be some ups and downs in between the quarters, and that's just the nature of our business. But certainly, that trend should move back towards that low 20s by the end of the year as we get through the initial start-up of Kansas iLottery and the instant tickets continue to have that impact on our numbers. There's a little bit of seasonality, as you know. Our Q3 is generally a little bit stronger. But no, we would expect to get back at least to that low 20s. And certainly, as the iLottery in the digital part of our business grows, which as you know, has higher margin, and that's really in the growth phase in the next year or 2, that should give us an opportunity to get increased margins over that.
Jim Byrne : That's great. And then just looking at the iLottery and the NPI results, obviously continue to be very strong. There wasn't really any jackpot runs here in the quarter. You mentioned the success of the eInstants. Are those Pollard eInstants or just eInstants in general in North Carolina and Virginia and maybe what's going wrong in Michigan?
Doug Pollard: It's Doug Pollard calling -- sorry, speaking, Jim, I can address that. Let me start off by saying that in Virginia and North Carolina, those eInstants sales are from multiple providers. So it would be aristocrat, but it would be others as well. And we are in the process of introducing our Pollard Banknote games into those customers, but they're not there yet. They also had some kind of -- there weren't jackpot runs, but they did have one progressive game that is a progressive eInstants that had a building jackpot that wasn't obviously on Powerball scale, but it was still enough to generate some buzz and that helped as well. What was the second half of the question was about iLottery?
Robert Rose: Michigan.
Doug Pollard: Yes. Michigan, I would say, has been a very interesting market. It is I think the most competitive gaming market in the United States today, far beyond what we -- even in a place like Nevada. They have very significant land-based casinos. They approved online sports betting. They approved online casino, and there are quite a few casinos there. And on top of that, prior to all that, they were in the lotteries, in the iLottery space, and they were a good lottery. So you put all that together, plus there's some charitable gaming there, and it is just a very competitive market. So I think that's made it harder for Michigan. And it's probably taken some of the real high-value players as well, which I think is -- yes, I guess that's what I would say. And we've got to help lotteries manage and steer their way through that and help them still continue to acquire players and make sure they're helping players manage the long-term success. But I would say that's the main factor in Michigan.
Jim Byrne : That's helpful. Maybe just lastly, I know in the past, just timing of shipments and things have negatively impacted results in revenue. Were there any shipments that kind of boosted sales here for this quarter, either push from Q4 into this quarter or pulled forward from Q2?
Robert Rose: I don't think so, Jim, it's Rob. I think we do see that because it's kind of a unique business we have that even though as our company grows, we are a relatively few transaction in number company, but have a very high value. We can have individual shipments and invoices in the $2 million or $3 million range. So we're not that big enough that those can kind of just get absorbed. But certainly, in Q1, there wasn't anything unusual. Our sales volumes were a little bit lower than our production volumes. But over time, that equals out. So you get a little bit of variation, but there was nothing unusual in this particular quarter, Jim.
Operator: And your next question comes from Robert Young from Canaccord Genuity.
Robert Young: First question for me would be around the ASP strength. I'm just trying to understand the drivers there. You highlighted a few already, so thanks for that. But don't normally think of this quarter as one with ASP strength. Is that mostly the repricing of the contracts? Or maybe you can just break that down a little better?
John Pollard: It's John. I can comment on it briefly. It was a combination of a couple of -- at least a couple of things. The repricing was a good chunk of it, but not -- in round numbers, maybe half or something in that kind of range. It's not -- because there were significant other factors. Look, we did see back in Q4, as we know, a relatively weak result on our instant tickets. And just as Rob Rose just mentioned, just the timing of orders one quarter to another was a little bit weak, and those things tend to even out over time. And so some of that weakness in Q4, some of those orders returned in Q1. So some of our higher-margin customers that we're a little bit missing in Q4, came back in Q1, but not in an overly -- just back to Jim Byrne's question, not an overly disproportionate way, just sort of return more to normal. But it was still a good mix -- just a good overall mix of customers as well, and that was a significant part of it. But we expect our mix basically going forward to be better than it has been in the last couple of years because as we've talked about, we've been purposely kind of walking away from some of our low-margin customers where we're not able to get the profit margins that we want. So it was a combination really of mix of higher margin customers and the repricing in somewhat equal-ish measures.
Robert Young : That's helpful. Last quarter, you had some spoilage or abnormal spoilage. Is that all under control? I think you described that as a temporary, but not out of the ordinary factor. I mean just -- is that all done?
John Pollard: Yes. I mean, look, I'll always say, in generally, the nature of the lottery business the instant scratch shop lottery ticket printing business, that's why there's high barriers to entry is that it's a complicated, difficult product to produce. And although we've been doing so for many years now, it is -- the recipes are constantly changing and keep ahead of changes in the environment, and it's a complicated product. So this is just a risk of always being in this business. The particular issues that we had in Q4, this was a sort of a technical issue with some of our production. We did sort of figure out and address them and fix them. And that's not reappeared in Q1 or since then. So yes, that issue is fixed. But I'll just say it's always a -- it's a complicated business we're in.
Robert Young : Okay. Just to expand on the tariff discussion. You even talked about U.S. production for U.S. domestic consumption. But what about your ability to compete internationally? Does it put you in a better position than your competitors for international consumption given your footprint?
John Pollard: It's interesting that -- so far, we don't see any real significant change there. But we do get the odd comments sometimes lately from our European customers that nice being Canadian. But look, I don't -- we're -- our business is long-term contracts, as you know, and people can't easily switch in the short run. So I don't know, Doug, Pollard, it's more your area where you'd have a comment on that, but I don't think we see a big change in anything yet.
Doug Pollard: Yes, it's Doug. We haven't -- I haven't seen that yet. And remember, some of our competitors do have production in Europe as well. So no, I think the only other part I'd add to that, Rob, is the lottery business is still a relatively small business, and we have relationships with lotteries around the world, pretty good relationships. And if I'm being honest, our competitors do, too. And I think that allows some of the lotteries to kind of see past some of the political rhetoric they might see on CNN and see some of the individuals. That said, I don't think it's a terrible environment in the international market to be Canadian.
Robert Young : All right. And last question for me is just on the regulatory change you highlighted on eTabs, maybe that's Minnesota. Can you just talk about what that is and how it impacts you? And then I'll just pass on.
John Pollard: There was -- there were legislative changes in the Minnesota market, largely coming from that in Minnesota, some of the commercial gaming is through tribal compacts, and those groups felt that the eTab products were getting a little bit too slot-like essentially that the travel groups had a sort of a monopoly on in the state. And so push back to the legislature a little bit to require the eTab operators to essentially dial back a little bit on some of the play mechanics of the eTab games. There were things like bonus rounds that were being brought in by all of us over the years that we had to -- it was a significant effort for us and all of our competitors in that market. We have to essentially redo all of our games to dial back on some of those bonuses and features to make them a little closer back to a traditional paper pull tab reveal. That launched -- those changes launched on January 1 of this year in a big bang. It wasn't gradual. It was a hard cut over on January 1. And so obviously, the players can see a little bit of a difference in the nature of the play, and it did have a depressing effect on the level of play early in the year. And we're addressing that with new games that we're launching and all kinds of other stuff, and it's definitely been improving since then, and we expect to be able to address most of that and get back to regular levels of playing growth over the next few months.
Operator: And your final question comes from Stephen Boland from Raymond James.
Stephen Boland: Can you just go back to the accounts receivable? Like how many customers like was involved in this? And again, can you just -- like you said it was late orders and so the AR got elevated, but is this -- I haven't seen this before. So I'm just curious, it was just kind of a one-off that is kind of unique for this year? Maybe just a little bit more on that.
Robert Rose: Sure, Stephen, it's Rob here. There's a couple of factors that went into it and the overriding statement, of course, is we do see a significant variation, particularly in the receivables from quarter-to-quarter just based on the fact, as we mentioned, we've got a few number of transactions, but they're fairly large. So if you go back a few quarters, one of the impacts was our working capital receivable balance at the end of December was probably at an all-time low. It was down to $79 million due to some good collections and some good payments at the year-end. If you go back to the third quarter of 2024, our receivable balance was actually $104 million. So the $119 million we have at the end of Q1, really isn't that outsized compared to where it was, and you do see this up and down. So it was a combination of, a, that we had some really good timing success just in the way of a couple of our large customers paid us off at the end of the year. And we put a level of focus, of course, on year-end. It's always a good leverage reason to go make sure you get collections, and so it was particularly low. So part of that increase was just getting sort of back to our median level of sort of receivables. So there's nothing sort of unusual in that. It's just it started from such a low point and they went to a sort of a high. So it was a combination of a number of factors. Certainly, different customers have different payment terms. And of course, the underlying issue with our receivables is we have -- and I hate to say this because I don't want to call it out. But we have probably the most high-quality value receivables in our business. We essentially don't have bad debts in our business. We're trading with governments and gaming entities that, of course, are pretty resilient in terms of the collectability. But some of our contracts, for instance, have longer terms, just for the nature of the government will have 45 and 60-day terms on some of them. But we have some customers that when the transaction gets too high, it actually has to go up all the way to the government to the CEO to get signed off, and that just takes a long time. Our sales -- total sales, of course, in the first quarter were quite high, and it was sort of leaning more towards the end of the quarter, which pushes that factor as well. We have a few other things that we're just working with customers that are a little bit more bureaucratic, so it just takes them longer to process it. And then the key thing to understand is that we would expect by Q2 to see that number come right back down to more of that median or the mean number that we see in our receivables. So we already know that April, we collected a bunch of it. So it's just a matter of timing that coupled with our low starting point, not that you ever want to be concerned that you've collected all your receivables, but it just is not unnatural to see that grow back up again on a quarter-to-quarter. And if you go back over a couple of years and just look at the quarter balances, you can see that variation. So it's really just the timing of our normal operations and nothing unusual for our business.
Stephen Boland : That makes sense. Second question, just in the MD&A, you've mentioned the outlook, the interest in iLottery has increased. I'm just curious about is it exponential? Is it -- you used to get one call a month, now you're getting 10? Like I'm just trying to gauge the frequency or the more states or jurisdictions that are looking into it?
Doug Pollard: It's Doug Pollard here. I'll address that. There is definitely more interest and there are more states that are going down this path. And so the interest is building is what I would say, without question. I don't know that I would describe it as exponential. I mean that -- if I hear exponential, I think it's sort of 10x and it's not that. But it's more frequent for sure, the inquiries than what we've had in the past. And you probably heard it from us before, and I'll say it again, it is a very long sales cycle in the high iLottery space, right? So lotteries, they sort of work at it and in the U.S., I'll focus on. They work at it from the legislative side for a long time. And in parallel, and once they see a bit of interest on the legislative side, then they start trying to educate themselves. And I think we have an outstanding team that has been through this a number of times, both working for the lottery and working for us, both at NPI and at Pollard Banknote on our own. And I think we have really good experience. And so we are engaged with most of those lotteries and not all of them that are contemplating going down that path. And we have seen an increase in that activity. It's only turned into 1 RFP recently. You saw the Massachusetts lotteries or maybe you didn't, but Massachusetts Lottery has introduced an RFP, which we're in the process of responding to. And I hope we'll see others. There's certainly some indication that there are others that are getting prepared. So it's growing is what I would say. And we are excited about being able to be a real strong competitor in that space, building on the terrific experience and reference we get from the Kansas Lottery and from our NPI experience.
Operator: And your last question comes from Jim Byrne from Acumen Capital.
Jim Byrne: I thought I'd ask about Kansas, any early indications per capita numbers that you could share? Or anything that I suspect you won't, but I just wanted to ask about the early returns in Kansas.
Doug Pollard: It's Doug again. I can't share specific per caps or anything. Look, what I would say is this in Kansas, it's important for us to step back and see that we confirmed that our technology works. We confirm that our team knows what we're talking about. Not only does our technology work, but when you have great modern technology, you can do this fast and we confirm that as well. And as I said, Kansas are big advocates for us now. They are -- we're in an industry that has not had really successful large technology projects. More often than not, the lotteries feel bullied more often than not, they feel it took longer than it was supposed to, and that was not the case in Kansas. So at a recent conference, they've been singing our praises. And so that was the first objective. The second objective is to show that, hey, if we're going to be the partner of choice, we've got to show that we can drive revenue. And I would say that Kansas, the revenue that we're seeing is very much right on track with what we would have been expecting. And we expect it to be a good, strong contributor in the iLottery space, and we're seeing that. Now keep in mind, we've had a little bit of one hand tied behind our back for 2 reasons. Number one, we had a very soft launch. The nature of it was the Kansas Lottery wanted to make sure we got everything up and running and got it solid before the started doing stronger ad and promo that hasn't begun yet, and that will begin in the next little while. And the second thing is, jackpots are a really important factor in iLottery, not so much for the revenue that they drive, but for the player acquisition that they provide. And we're at a real low when it comes to Powerball and Mega Millions jackpot runs. And those runs are where we see significant player acquisition for a relatively low cost of acquisition. And then our marketing job kicks in to try to retain those players and keep them responsibly playing on products like our eInstants, and we just haven't had that. So that's a long answer to say, look, I am very happy with the financial results in Kansas. They are right on track, and we're going to keep lifting those as we now start to point an advertising strategy. And hopefully, we start seeing the jackpots build, although that's going to need a little more time.
Jim Byrne: That's super helpful. And then maybe just lastly, any update from Belgium?
Doug Pollard: No. We're still in process there. We have ongoing dialogue with them as part of the RFP process, but nothing other than just regular Q&A confirmations, that sort of thing.
Operator: And there are no further questions at this time. I will now turn the call back over to Mr. Doug Pollard. Please continue.
Doug Pollard: Okay. Thank you, Kelsey. Our strong financial results in the first quarter and important business milestones achieved underlying the success of our strategy of reestablishing our traditional print margins while growing our digital solutions. We are very excited with the opportunities we see in the lottery and charitable gaming markets, and the foundation of our success are the more than 2,500 dedicated team members who ensure our organization will continue to be the partner of choice to help our lottery and charitable gaming customers. We thank you on behalf of John and Rob. Thank you for joining us, and we look forward to updating you on our business in August.
Operator: Ladies and gentlemen, this concludes your call for today. We thank you very much for your participation and ask to please disconnect. Have a great day.